Toshizo Tanaka: Good morning or good afternoon, ladies and gentlemen, and welcome to Canon’s Conference Call. Please note that all financial comparison made during my presentation will be on a year-on-year basis unless otherwise stated. Please turn to slide 3, first, the third quarter. The global economy remains on the path of gradual growth, thanks to consumer spending in major advanced economies such as the United States and Europe. Emerging markets, however, faced delayed economic recoveries in particular concerns about an economic slowdown in China deepened due to such factors as a weak domestic demand and sluggish private investment. As a result, Southeast Asian countries with strong links to the Chinese economies also saw their currency depreciate, which caused among others a rise in import prices leading to economic condition worsening. When we announced our result back in July, I mentioned growing uncertainties regarding Asia including China, which led us to revise our projection for office equipment. Since devaluation of the Chinese currencies in August, market conditions in these regions further worsened creating a situation where we fell short of our plan mainly for monochrome devices. This situation also impacted our camera business for which we maintained our previous projections leading for a deep fall in unit sales. On the other hand, our performance was solid in developed countries. We maintained a strong growth in both office camera equipment and the commercial printing. At the same time, we also expanded sales of the lithography equipment and network cameras. As a result, we posted growth in total unit sales. As for profit, operating profit increased thanks to an improved product mix and a cost reduction effort which helped us maintain a high growth profit ratio. Please refer to slide 4. This slide summarizes our third quarter performance. We posted increase in both the sales and operating profit. The decrease in net income mainly reflects valuation loss on liabilities of group companies. This was caused by a further weakening of emerging market currencies which was triggered by the devaluation of the Chinese currencies. Again, in the same period last year, linked to Yen’s depreciation was in effect. Additionally, the change in the corporate tax rate in Japan and the lower portion of profit generated in countries that have lower tax rate caused an increase in the effective tax rate. Please turn to slide 5. I will now compare our third quarter results with those of last years. Changes in the exchange rate had a positive impact on both the sales and operating profit. As for changes in sales volumes, we recorded sales growth thanks to lithography equipment and the consolidation of Axis, which offset lower camera sales. The greater influence on profit than sales mainly reflect Axis and its high growth profit margin. As for others, we limited price reduction to ¥10.6 billion half of last years. We also generated cost savings that exceeded that of last years. Expenses however increased mainly due to the impact of newly consolidated companies such as Axis. Please refer to slide 6. Next our current projection for the year, here are our assumptions for exchange rate and exchange rate sensitivity. Please turn to slide 7. Where we expect the global economies to remain on the paths of gradual growth? Thanks to solid economic condition in Japan, the United States and Europe. We also forecast the emerging market including China will require more time to recover. Our third quarter sales were below expectations mainly in Asia including China we adjusted our sales plan for the fourth quarter. This year, our aim has been to grow faster than the market by launching numerous new products. And following the first half, we continue to introduce strategic models in line with our plan. As we rollout these new products, we are actively replacing older models with new high added-value ones. By promoting these new products, while forecasting on new businesses, particularly network cameras, we work to firmly achieve sales growth. As for profit, we aim to maintain operating profit growth through an improved product mix and by continuing effort to cut cost and reuse expenses. Please refer to slide 8. This slide summarizes our projected performance in 2015. Please turn to slide 9. I will now compare our current three-year projection with our previous one. Changes in exchange rate assumptions had a negative impact on both net sales and operating profit. As for changes in sales volumes, we lowered our assumptions for both monochrome office equipment and cameras after reviewing our sales trend for mainly Asia including China. Within industries and others, we raised our projections for our lithography equipment where performance has been consistently thrown. Profit however was less affected and due to the fact that the reduced sales assumption mainly from growth in the office segment and entry-class cameras. As for others, we revised our price reduction projection from ¥59.5 billion to ¥51.3 billion and that our cost reduction projection from ¥42 billion to ¥40 billion. For expenses, we plan to put further emphasis on lowering advertising and R&D. Also, our investment in R&D trended at higher pace in the first half of this year. We expect the levels of three years’ R&D expenses to be similar to the past. Please refer to slide 10. I will now discuss each business unit starting with office. The office equipment market for monochrome devices worsened due to ongoing economic weakness in China and Southeast Asia. The overall market however remained on the path of gradual growth driven by sales of color copiers and printers in developed countries which observed lower monochrome sales. Although our sales of monochromes models were also sluggish, we maintained positive sales growth for color machines. In particular color copier sales continued to show double-digit growth, thanks to the contribution of the new products. In the quarter, we also strengthened our office line-ups with strategic copiers targeting the small to medium sized business market, where are the high-speed commercial printers. Going forward, we work to expand sales of these new products aiming to grow faster than the overall market and to expand sales of consumer growth. For laser printers, the shift to new product is progressing smoothly. Those that were launched in April already accounted for 40% of total color unit in the third quarter. Additionally sales of consumables remain firm supported by the demand in developed countries. Please turn to slide 11, next, our projection for this business unit. We expect office equipment market to remain stable in developed countries. In emerging market however, we are forecasting continued weakness particularly in Asia including China. Additionally, we anticipate a sluggish market growth in other emerging market such as Russia and Latin America, particularly for our laser printers. As such, we revised our sales plan over the fourth quarter for both copiers and the laser printers lowering our sales projection mainly for low and monochrome equipment. For new product, we continue effort to actively promote sales expansions the actual third quarter result in line with our plan. Among new products several new laser printers were announced in September, majority of which high-speed MLPs. These new models have substantially broadened our line-up of laser printers incorporating new technologies. Laser printer consumable sales projected to be in line with last years, it takes a certain amount of time before expanding sales of new printers to positive influence sales of consumables. This year we are building foundation that will support sales expansion from next years. Please refer to slide 12. Next, I will discuss imaging systems business unit. The market for cameras and the inkjet printers’ hardware was significantly below that of last year’s due to weakened consumer sentiment in Asia including China. As for our unit sales of interchangeable lenses cameras, the pace of decline slowed to 9% in the second quarter and we expected this trend of recovery to continue. Due to the sudden worsening of market condition in Asia, particularly in China, however unit sales were down 17%. For the same reason, sales of compact cameras continued to shrink at the rates of around 30%. In contrast to market weakness, we saw mainly in China the interchangeable lenses camera market in Japan and the United States continued to move to other gradual recoveries. As for Europe, we also saw clear sign of recovering market conditions particularly in Western Europe where the pace of unit sales decline has slowed to single-digit. We also used proactive advertising campaigns to promote a switch from old product to new models. This has helped to enhance our product mix and improve profitability thanks to strong sales of high added-value compact models and interchangeable lenses cameras for advanced mature uses. As for inkjet printers, although we posted decline in printers’ hardware sales, consumable sales remains solid contributing to consecutive quarterly net sales growth. Please turn to slide 13, next our projection for this business unit, starting with the interchangeable lenses cameras. I will first address the market situation in China. In our previous projection based on what we saw in the first half, we expected the strengthening trend of market recoveries and our sales to grow as we moved closer to China’s National Day in the third quarter. From August however, the market situation rapidly worsened. As a result, we posted lower than expected sales and similar situation was also seen in Southeast Asia. Based on deepening market concerns and many, uncertainty that remained, we reviewed our sales plan for Asia including China. As a result, we lowered our projection for the global market from 13.1 million to 12.5 million units and our unit sales from 5.8 million to 5.5 million units. Within our revised projections, we expect the markets of Japan and the United States to move toward bottoming out the recovery trend remained solid. As for Europe, where the market has faced prolonged downturn, we now see apparent market recovery in Western Europe. Thus we raised our unit sales projections. In these developed countries, we are working to stimulate the market through new products with strong focus on encouraging advanced amateur users to replace their cameras. We will continue these activities in the fourth quarter while working actively to expand sales of entry models during the year-end selling season. As for compact cameras, due to similar market situations, the interchangeable lenses cameras, we lowered our projection for the market from 29 million to 27 million units and our unit sales from 7 million to 6.5 million units. We lowered our projections for mainly low-end models we continue our strategy of driving a shift towards a high-end. The two PowerShot G series models that we currently have in our line-up have performed well. And with the addition of two new models, the electronic viewfinders incorporated G5X and the slim and light weight G9X, we completed our G series line-up. While offering a broad product line-up that meets the best need for fixed ranges cameras, with continuous effort to improve profitability. In the business use areas, our two new Cinema EOS models have performed well. Although the scale of this business is still small, it continues to grow at a high rate. Next to inkjet printers, we expect the market to fall below that of last year due to weak condition in emerging market. Regarding our business, we recently launched new product featuring improved usability through enhanced connectivity with mobile devices. In this way, we would stimulate demand for photo printings which will lead to the expansion of consumable sales. Additionally, thanks to the improved competitiveness of our large format printers, we are steadily gaining market shares and increasing MIF. This is linked to expanding sales of more profitable consumables. By expanding sales in the B2B areas, we are working to further improve profitability. Although, we revised our projection for printer unit sales to reflect worsening market conditions, we expect sales to be basically in-line with last year by expanding sales in the B2B areas and through the solid sales of consumables. Please refer to slide 14 next I will discuss industries and others. As for IC lithography equipment, amid the ongoing capital investment by customers, sales of equipment used in the production of memory devices, imaging sensors and power ICs remained strong. As a result, we sold 20 unit significant increase over the same period last year. We also posted an increase in unit sales of flat-panel display lithography equipment, thanks to the strong market. In others, Axis posted strong sales. The performance also contributed to profit. Overall, industries and others in the sales increased and operating profit was in the black, thanks to increased sales of lithography equipment and inclusion of Axis. Please turn to slide 15, next projection for this business unit. We expect IC and lithography equipment market to grow even on an annual basis. And due to strong sales, we have again raised our three-year projections this time from 71 to 80 units. As for next generation Nanoimprint lithography equipment, we are continuing the development. And in line with our announcement in February, we expect to ship our commercial product by year end. We also expect the market to grow for flat-panel display lithography equipment as panels continue to increase in size and offer higher definitions. The results, we expect unit sales to grow from last year’s 22 units to 33 units this year. As for others, we expect network camera sales to increase. Regarding Axis, its third quarter performance exceeded our expectations for both the sales and profit. As such, we project its contribution to full-year’s net sales to be ¥72 billion. As for other Group companies, we mainly expect sales of Tokki’s OLED production equipment to grow. As a result, we expect industries and others in the sales to increase but operating profit to be in the red on an annual basis. And this is due to the investment linked to the new businesses under development of the new generation technologies. Please refer to slide 16, next our financial situations. Inventory was basically flat compared with June but improved by 2 days in terms of turnover. This mainly came from working process reductions. September traditionally shows build-up in inventories to prepare for the year-end selling season. This time, however, amid the lowering of sales plan for both office equipment and cameras, we maintained inventory at around same levels as June. Even compared with September of last year, inventory turnover improved by 1 day as we manage inventory amid change in market conditions. We also maintained an appropriate level of camera inventory which was improved by three days to 55 days compared with June. Please turn to slide 17. For capital expenditure and the cash flow, please now refer to this right. We will maintain our policy of keeping capital expenditure below depreciation. We will also continue our focus on through cash flow management to maintain our financial health. As for acquiring Axis’ stock, we kept our projections the same assuming holding ratio of 85%. Please refer to slide 18. As a result, cash in hand at the end of 2015 is projected to be around ¥630 billion or approximately two months of net sales. This year we are not only working to stimulate the market through the launch of the numerous new product but also developing new businesses that will support our future growth. In addition to the things that I touched upon in my discussion of each business units, we are making as steady progress in other areas such as medical and those related to IT. Amid situation of sluggish camera sales, due to the economic slowdowns in Asia including China, we will put more energy into developing business areas particularly in the B2B areas like network cameras that have supported our performance. This year is our final year of the Excellent Global Corporation Plan, Phase IV. Over the remaining two months, the Canon Group will work as one, continuing the effort focused on expanding sales of new products and improving profitability. At the same time we will take steps to cultivate new businesses, acquire strategies within our next five year’s plan that starts next year. This concluded my presentation. Thank you very much for your kind attention.